Operator: Good afternoon, ladies and gentlemen, and welcome to the National Bank of Canada's Third Quarter Results Conference Call. I would now like to turn the meeting over to Ms. Linda Boulanger, Senior Vice President of Investor Relations. Please go ahead, Ms. Boulanger.
Linda Boulanger: Thank you, operator. Good afternoon, everyone, and welcome to our third quarter presentation. Presenting this afternoon are Laurent Ferreira, President and CEO of the Bank; Marie Chantal Gingras, Chief Financial Officer; and Bill Bonnell, Chief Risk Officer. Also joining us for the Q&A session are Lucie Blanchet, Head of Personal Banking; Michael Denham, Head of Commercial and Private Banking; Denis Girouard, Head of Wealth Management; Etienne Dubuc, Head of Financial Markets and Responsible for Credigy; and Stephane Achard, responsible for our international activities. Before we begin, I refer you to Slide 2 of our presentation providing National Bank's caution regarding forward-looking statements. I would also like to remind listeners that the bank uses non-GAAP financial measures such as adjusted results to measure its performance. Management will be referring to adjusted results in their remarks unless otherwise noted as reported. With that, let me now turn the call over to Laurent.
Laurent Ferreira: Merci, Linda, and thank you, everyone, for joining us. This morning, National Bank reported earnings per share of $2.21 and a return on equity of 15.3%. The solid performance was supported by revenue and pretax pre-provision earnings growth in P&C, Wealth and International, partly offset by a less constructive backdrop in financial markets. We continue to operate in a challenging environment. The Canadian economy has yet to absorb the full impact of rate hikes since the start of monetary policy tightening, resulting in lingering uncertainty. While the labor market is showing signs of easing, it remains robust at this point in time. For its part, the housing market is enduring the impact of higher rates amid demographic growth and limited supply. This development is likely to keep inflation higher for longer and limit the Bank of Canada's ability to offer short-term interest rate relief. Against this backdrop, our strategic positioning and defensive posture provides us with strength and resilience to face potential headwinds and take advantage of opportunities. First, the bank has a diversified business mix and strong earnings power backed by a disciplined approach to risk and cost management. Second, we have a solid credit profile. Our credit portfolios continue to perform well and we are building up prudent reserves in line with business growth and credit normalization. Third, our capital position is strong with a CET1 ratio of 13.5%. This enables us to invest in organic growth while returning capital to shareholders through sustainable dividend increases. Our dividend payout ratio now stands at the low end of our 40% to 50% target range following the dividend increase announced last quarter. We will review our dividend in the fourth quarter, consistent with usual practice. To summarize, with our capital levels, strong earnings power and discipline on costs and credit, we are well positioned to navigate the economic uncertainty and grow the bank. Turning now to the performance of our business segments. Personal & Commercial Banking performed well with pretax pre-provision earnings up 9% from last year, supported by margin expansion and solid balance sheet growth. As anticipated, we continued to see a slowdown in loan growth as clients adjust to higher borrowing costs. Earlier this month, we announced the acquisition of a commercial loan portfolio of Silicon Valley Bank's Canadian branch. This acquisition builds upon our 25-year presence in technology across the country and reaffirms our commitment to support the Canadian innovation sector. Wealth Management had another strong quarter, generating 6% year-over-year growth in both revenue and pretax pre-provision -- sorry, pretax pre-provision earnings, supported by higher interest rates and our deposit base. Asset growth was also strong, coming in at 10% year-over-year, a result of market appreciation and strong net sales. In Financial Markets, Corporate and Investment Banking delivered a strong quarter with revenues up 17% year-over-year, led by ongoing momentum in Corporate Banking. In Global Markets, Securities Finance had a strong quarter on the back of balance sheet demand and higher rates, which was offset by lower revenues in structured products. We also experienced lower trading activity across the franchise amid exceptionally low market volatility and this was compounded by a strong third quarter last year. Credigy delivered solid results in the third quarter. Despite an uncertain macro environment, and with market supply remaining low, the franchise generated asset growth of 3% sequentially, primarily driven by new portfolio purchases. The portfolio remains defensively positioned with continued strong underlying performance. We are pleased with the average asset growth delivered so far this year, in line with our double-digit growth target for fiscal 2023. ABA's balance sheet growth continued in Q3, with loans and deposits up 25% from last year. The franchise continues to expand its customer base with a total number of clients up 36% year-over-year. Revenue growth continues to reflect pressure on deposit margin resulting from migration to term products in the context of higher interest rates and a competitive environment for deposits. While global economic growth is moderating, the longer-term outlook for Cambodia remains very attractive. Before I pass it over to Marie Chantal, I'd like to take a moment to recognize Denis Girouard, for his countless contributions to the bank over his 33-year career with us. In that time, he has been instrumental in growing our financial markets franchise and forging its leadership position in key sectors. Over the last few months, Denis has led our Wealth business on an interim basis which further speaks to his leadership. I am personally very grateful that Denis will be playing -- will be staying on as a strategic advisor to the bank, so we can continue to benefit from his deep experience. Denis will fully transition to his advisory role once once Nancy Paquet officially takes over the leadership of Wealth Management in Q1. Nancy is a proven leader, having made our mark in a range of strategic roles at the bank since joining in 2007. She is a seasoned financial service professional with a strategic vision and a client-centric mindset. We look forward to welcoming her to the senior leadership team as Head of our Wealth franchise, a key growth driver for the bank. Marie Chantal, over to you.
Marie Chantal Gingras: Thank you, Laurent, and good afternoon, everyone. My comments will start on Slide 7. The bank delivered solid financial results to Q3 despite a challenging macro environment. Revenues increased 4% year-over-year. As Laurent mentioned, solid revenue growth in P&C Banking and Wealth Management was partly offset by lower revenues in financial markets. As anticipated and discussed on our last call, operating leverage was negative in Q3, with expenses increasing 7% year-over-year. A significant proportion of our expense growth was driven by last year's FTE increase as well as by our annual salary increase and was partly offset by lower variable compensation. Over the past few quarters, the entire management team has been focused on prudently managing headcount through attrition while at the same time, simplifying our operations to improve the client experience. Notably, our FTE count in Canada has been declining since Q1. Also contributing to the increase in expenses were investments in technology to support client acquisitions, enhance our client experience and improve efficiency. To delve a little deeper, this expense increase is largely explained by a shift in the investment portfolio mix and higher amortization related to past projects as well as by business growth. Costs, including occupancy, marketing and travel were also higher year-over-year. With the environment expected to remain challenging in the near term, we continue to be strategic in prioritizing and managing expenses. By being proactive and disciplined in an inflationary environment, we have been able to contain our expense growth to within the mid- to high single-digit range. We remain very focused on controlling costs. And as such, while expense growth may vary from quarter-to-quarter, we expect the overall trend in noninterest expense growth to moderate. Our dynamic approach to balancing business growth and investment contributes to our efficient businesses and the resiliency of the bank. Now turning to Slide 8. Total net interest income, excluding trading, increased by 17% from last year, benefiting from higher rates and strong balance sheet growth. For P&C Banking, net interest income was up 13% year-over-year, mainly driven by deposit margin expansion and growth in loans and deposits. For Wealth Management, NII increased by 19% year-over-year. This was supported by higher interest rates and a strong deposit base of $40 billion resulting from the diversification of our underlying businesses. In Q3, we reclassified other income to NII. The reclassification had no impact on the bank's total revenue. Excluding this item, non-trading NII grew 14% year-over-year. In Q3, all bank NIM, excluding trading, reached 2.18%. The revenue reclassification represented a favorable impact to NIM of 6 basis points sequentially. Excluding this element, non-trading NIM was up 3 basis points from last quarter. Of this increase, 2 basis points was related to Corporate Banking, primarily driven by a payment recovery, while asset and liability management activity accounted for 1 basis point. P&C NIM was stable from last quarter's strong level. The segment benefited from a more favorable business mix, mainly offset by lower asset spreads. As always, our objective is to grow the franchise, and we remain disciplined in managing our balance sheet, balancing growth, margins and credit quality. Slide 9, highlights our balance sheet. Loans were up 9% year-over-year and growth was broad-based. There was particular strength in corporate banking, reflecting growing working capital needs, acquisition financing and relatively subdued origination activity within Capital Markets. Strong performance in USSF&I reflected ABA's expanded client base and Credigy's growing portfolio. Commercial loans grew by 7% year-over-year, in part driven by opportunities in the residential insured segment. Personal mortgages grew by 2%, reflecting current housing market conditions and our strategic decision to focus on our proprietary channels. Sequentially, loans grew by 2% at the all-bank level. Deposits, excluding wholesale funding, grew by 13% year-over-year and 1% quarter-over-quarter, with personal deposits growing by 16% year-over-year and 1% sequentially. Personal clients continue to favor term products in a high interest rate environment. While the rate of migration has been slowing down, clients have continued to deploy some of their accumulated savings. Non-retail deposits also grew sequentially by $1.5 billion or more than 1%. This was primarily driven by Commercial Banking, including an increase in government and public sector deposits. Our deposit franchise demonstrated the strength of our diversified model and focused on growing our deposit base across all business segments. Slide 10, presents our strong liquidity position and sound funding profile. Our core banking activities are well funded through diversified, strong and stable sources while we remain disciplined around funding costs. We maintain prudent liquidity metrics and consistently operate at levels that are well above regulatory minimum requirements. At the end of Q3, our liquidity coverage ratio was 146% and our net stable funding ratio was 118%. Now turning to capital on Slide 11. Our CET1 ratio improved by 15 basis points from last quarter to reach 13.5%. Third quarter earnings net of dividends contributed 34 basis points to our ratio, underscoring our strong internal capital generation capacity. On November 1, 2023, the Basel III reforms related to the fundamental review of the trading book and a revised credit valuation adjustment framework will be adopted. Based on what we're seeing today and keeping in mind that the exact level of market risk and implementation is difficult to predict, we estimate that the reforms would have a combined impact of 35 basis points to 40 basis points of capital. As we transition from an internal model-based approach towards a standardized market risk approach, the unfavorable impact is primarily explained by the loss of diversification benefits between various risk factors. Our capital position is strong and will remain strong on a pro forma basis upon the reform implementation in Q1 2024. It provides us with flexibility to deploy capital across our segments and take advantage of opportunities that arise to support growth. It also allows us to return capital to shareholders. In conclusion, the bank delivered solid Q3 results with an ROE of over 15% and a strong balance sheet. Our resilient business model and disciplined approach to cost capital and risk management have contributed to our solid track record and position us well to execute our strategy. I will now turn the call over to Bill.
Bill Bonnell: Merci, Marie Chantal, and good afternoon. I'll begin on Slide 13. The trends in the normalization of credit performance, which we've seen since the beginning of the year continued in the third quarter, and reflect the current complex macroeconomic environment. As Laurent mentioned, employment conditions have softened modestly but unemployment rates remain low compared to historical averages. Inflation has declined from its peak but is likely to remain sticky. And the future path of interest rates remains uncertain, but rates are likely to remain higher for longer than what was forecast earlier this year and elevated geopolitical risks persist. Against that macro backdrop, we remain very comfortable with our defensive positioning and we're pleased with our portfolio's performance last quarter with total PCLs of 20 basis points or $111 million. Provisions on impaired loans increased to $85 million or 15 basis points. In retail portfolios, impaired provisions continued to rise from last year's lows but remain below pre-pandemic levels. In wholesale portfolios, this quarter's increase in impaired provisions was driven by two new impairments in Commercial Banking, partially offset by a recovery in Corporate Banking. As you know, wholesale impairments and recoveries can be lumpy from quarter-to-quarter. In the international sector, impaired provisions rose to $25 million, reflecting normal seasoning in Credigy's portfolios and at ABA reflecting a moderating global economy, particularly impacting the recovery in tourism and trade-related sectors. Provisions on performing loans were $38 million or 7 basis points as we continue to build allowances. In our domestic portfolios, performing provisions were stable quarter-over-quarter and due primarily to portfolio growth. In the international sector, performing provisions were driven by portfolio growth, model calibrations and some migration. Please turn to Slide 14. Total allowances for credit losses increased by 5% to $1.3 billion and now represent 1.7 times the Q1 2020 level. Performing ACLs grew to more than $1 billion, just 5% below its pandemic peak. On Slide 29 in the appendix, you will find details of our allowance coverage ratios, which remain very strong. Performing allowances cover 4.5 times our last 12 month impaired and total allowances cover 7.8 times our last 12-month net charge-offs. In this complex macro environment, we are very comfortable with this prudent level of allowances. Turning to Slide 15. Our gross impaired loan ratio increased to 41 basis points, which remains below pre-pandemic levels. Net formations rose to $153 million last quarter. In retail banking, recent trends in delinquencies and formations persisted with delinquencies rising faster in unsecured portfolios than in RESL and more slowly in Quebec portfolios versus the rest of Canada. In the wholesale portfolios, formations rose in the quarter, driven by two commercial formations in the manufacturing sector, partially offset by net recovery in Corporate Banking. In the international sector, formations increased due to seasoning and Credigy portfolios and higher impairments at ABA. In the context of moderating global growth, the Cambodian economy is adjusting to recent softness in external demand and a slower-than-anticipated recovery in tourism. In this context, we expect formations to remain elevated. However, given the low LTV of loans and our historical experience, we think that the realized net charge-off rates should remain low. On Slide 16 and 17, we present highlights of our Canadian RESL portfolio. The geographic and product mix remained stable with Quebec accounting for 55% and insured mortgages accounting for 29% of total RESL. Supported by favorable employment and savings rates, borrowers continue to demonstrate resiliency as they absorb the impacts of higher interest rates. Uninsured RESL 90-day plus delinquencies remained low at 7 basis points and credit scores remain high. As you know, payments on our variable rate mortgages have adjusted upwards with central bank rate increases. So these are the customers who have had to adapt most quickly to higher rates. While we have seen early delinquencies rise past pre-pandemic levels for insured variable rate mortgages, they remain low for uninsured variable rate mortgages as customers have prudently adjusted discretionary spending. You'll also see in the setback that the remaining amortizations of our mortgages have not extended and the portion of over 30 years remains low at 1% of the portfolio. To conclude, we were pleased with the good credit performance again this quarter. Looking ahead, we expect further normalization with increasing levels of delinquencies and impaired PCLs in the coming quarters. The speed of normalization will be heavily influenced by the path of unemployment and interest rates and impact should be somewhat moderated by our defensive positioning, our resilient mix and our prudent level of allowances. We maintain our full year target for impaired PCLs at 10 to 20 basis points and continue to expect to be -- to end up in the bottom part of that range. With that, I will turn it back to the operator for the Q&A.
Operator: [Operator Instructions] Our first question is from Meny Grauman from Scotiabank. Please go ahead.
Meny Grauman: Hi, good afternoon. Marie Chantal, I wanted to ask a question about expenses and specifically whether you expect your current approach to expense management to lead to positive operating leverage next year? You've had three quarters in a row of negative operating leverage. So I'm just curious about the outlook there.
Marie Chantal Gingras: Hi, Meny. Thanks for the question. And you're right, there was definitely some pressure in the past couple of quarters. And can you hear me well, Meny?
Meny Grauman: I can, yes.
Marie Chantal Gingras: Okay. So factors that influence that negative operating leverage, for sure inflation. And as I said in my remarks, we've managed expenses very disciplined-ly and dynamically over the past few quarters in order to mitigate those factors. Simultaneously, we continue to grow and diversify our revenue base for sure. So a more favorable operating environment where inflation moderates and capital market activities resume will definitely contribute to better operating leverage. So we consistently assessing our overall cost structure. We do remain positive on leverage for Q4 being positive in terms of operating leverage.
Meny Grauman: Got it. Just -- the follow-up is just in terms of how open you are. Maybe it's a question for Laurent in terms of taking restructuring charges if the environment, especially the revenue environment continues to remain challenged. Is that something on the table? And how do you view restructuring charges from a broader perspective?
Marie Chantal Gingras: Yeah, Meny, I can continue with that question. So we continuously assess our overall cost structure, including intangibles, real estate and talent. So at this point in time, we remain very focused on protecting our current talent base and are not contemplating any large layoffs. On the potential write-off, no decision has yet been made and any charge would be treated as a specified item and excluded from our adjusted results.
Meny Grauman: Okay, thank you very much.
Marie Chantal Gingras: You’re welcome.
Operator: Thank you. Our following question is from Doug Young from Desjardin Capital Markets. Please go ahead.
Doug Young: Hi, good afternoon. Maybe for Laurent. You mentioned at the beginning of your discussion, or your opening remarks about capital and how you're very well defensively positioned given the headwinds, but also to take advantage of opportunities to, I think, grow the franchise and whatnot. And hopefully, you can elaborate on what the priorities are for your excess capital? Would you consider being more aggressive with an [NCIB] (ph), acquisition? Just hoping you can elaborate a little bit more on that.
Laurent Ferreira: So, Doug, thank you for your question. And you heard the comments from Marie Chantal regarding FRTB. So even after that, we sit in a very good place in terms of overall capital and feel very comfortable to operate at these levels. In terms of capital deployment, it's the same story. We like our strategy. We like our strategic focus on growing our Canadian franchise. So that doesn't change. And it is -- the macro environment remains uncertain. So our capital levels are higher than peers at this point in time on average. But I think it's -- we're comfortable operating at that level given the uncertainty, providing us also with flexibility to deploy and to jump on opportunities. But one example is Credigy. Credigy, we could see, I think, over the next year more opportunities to deploy capital there. So I don't know if that helps you, Doug.
Doug Young: Yeah. No, it does, just trying to kind of frame it. And then historically, my second question, just historically in Wealth Management, you guys have done a great job of putting up double-digit earnings growth and through thick and thin. That's been something that's been noteworthy. It seems to --that's slowed a little bit. And I guess the equity market movements and all of that. I'm just trying to kind of wrap my mind around, are there structural reasons why we shouldn't be anticipating double-digit earnings growth out of Wealth Management, like the no fee trading, the discount broker, although I thought higher interest rates would be quite a tailwind for your business. So I'm just trying to get a sense of how we should be thinking about earnings growth out of Wealth today versus, call it, five, 10 years ago?
Denis Girouard: Thank you, Doug, it's Denis. I will take that one. Yeah, you mentioned it. The last year or so, we saw a good expansion in our revenue because of NII. As you can see and as we can read in the market right now, our rate kind of stabilized. If there's anything, they may hedge a little bit upward, down the road, then if it happens, we'll see more revenue coming from there. But on the other businesses, it’s all related to the market. And our well-diversified platform that we do have, can sustain change in the market, and you saw it in the past year or so. Then, we're still constructive about the business. Are we going to grow at the same rate? All depends on the market for sure. But I would say that we're very well positioned to see business growth continue if the market is cooperative. Right now, we're looking forward for next year and probably more to come in the fourth quarter, but so far so good. And we like what we're seeing, and we like really our business mix that we do have right now.
Doug Young: Appreciate it. Thank you.
Operator: Thank you. Following question is from Paul Holden from CIBC. Please go ahead.
Paul Holden: Thank you. Good afternoon. First off, thanks for the guidance on the [FTRB] (ph) impact, helpful. I'm just wondering with that and then sort of the softer quarter on trading, is there any permanent change in the amount of capital you're willing to allocate to the trading business, i.e., is there going to be a lower run rate going forward because of these higher capital requirements or otherwise?
Etienne Dubuc: Yes. Thanks, Paul. It's Etienne. So I think Laurent said it well in his opening remarks, with what we experienced is a very quiet quarter, especially with regards to the Canadian markets and the activity level of institutional clients. So while US markets went up sharply because of, well, the performance of tech stocks, S&P being up 9%, NASDAQ being up 19%, Canadian indices were unchanged for the quarter and Canadian equities volumes were down about 25% year-over-year. So what you saw is our market making activities were slow, even though we maintain our very high market share. On the equity structure note, sales were also soft, mostly due to that lackluster performance of Canadian stocks. On the bright side, corporate clients continue to be active and hedging exposures and interest rates, although activity on the FX side was slower. FX was also very quiet and the CAD dollar was caught in a very tight range throughout the quarter. So as a result, our trading businesses, which we position conservatively faced a double effect of lower volume and decreasing volatilities throughout the quarter. If you look at our rates franchise, Q3 last year was a record quarter in a very tough credit environment. This year, you had very low institutional activity, and this is a franchise that focuses on being the premier liquidity provider in Canada. So we're number one in government trading. We have a dominant presence in Canadian rates futures. The focus is not to warehouse big positions and be exposed to credit spreads. So it's a quarter, again, characterized by low volatility and narrowing credit spreads. Well, that won't be an environment where we -- we're the top performer. So -- and this is something we're comfortable with. When market conditions become unusually benign with low volatility and narrowing credit spreads, we're not going to be the top performer. And we did very well in Q3 last year in what was a -- like I said, a much tougher environment. So -- in the last month, we've been seeing a normalization of market volatility, and we've seen a pickup in client activity. So no, I don't think our global markets performance in Q3 is a new normal. I think things are looking good.
Paul Holden: Got it. Okay. And then second question from me is for Bill, and it's related to the sort of step function change in commercial PCLs and gross impaired loans. Is there anything there that you're seeing that might suggest ongoing higher losses? Like are there any kind of new established trends? Or is it more kind of what you hinted out with your prepared remarks in terms of there's going to be volatility from quarter-to-quarter in that book of business?
Bill Bonnell: Yeah. Hi, Paul, thanks for the question. I covered it in the prepared remarks. It's really overall, the Canadian business, it's a continuing trend of normalization. So this quarter in commercial, it was a lumpy quarter in -- that 2 files became impaired the same quarter. Just like last year, it was a lumpy file in recoveries, but that's just noise for the overall trend. And as I said in the remarks, we do see the trend continuing to normalize. So we do see going into 2024 Retail and Commercial going back to more normal levels coming out of the very, very low levels last quarter. One way of looking at it as well as even with a lumpy quarter in Commercial, our impaired loans were 15 basis points, which historically is low. On the gross impaired loans, which I think you asked about as well, I think on the slide, gross impaired loans, you can see the growth coming from ABA, which we called out in the prepared remarks as well. And with ABA, you'll remember last year, we talked a lot about the increasing impaired peaking in fourth quarter, but coming from the COVID moratoriums. So that story is behind us, and those -- that portfolio of clients that had moratoriums is performing exactly like we expected. However, we did speak in the prepared remarks about seeing some moderation in growth. So we have seen an increase in impaired coming in sectors that are most impacted by the moderating global growth and we would expect the levels to remain elevated. However, the risk content, the lost content in those gross impaired loans, we still feel is pretty low. We've spoken before about being -- wanting to be prudent as we haven't been through a full cycle with ABA, and that translates into being very prudent in having built allowances since the beginning of IFRS 9 and maintaining good allowances. But historically, given the low LTVs, the net charge-offs in the end are relatively low, and we'd expect net charge-off rate to stay low below what our impaired provisioning is. [Technical Difficulty]
Paul Holden: It does. It does. Thank you for that. And, I’ll leave it there. Thanks.
Operator: Thank you. Our following question is from Nigel D'Souza from Veritas Investments. Please go ahead.
Nigel D’Souza: Thank you. Good afternoon. First, I just wanted to follow up on the reclassification that impacted net interest income. Any additional color there on what that was specifically related to and what drove the reclassification in this quarter, because I understand it’s [indiscernible]. And I guess, why was that previously recognized in other income in prior quarters?
Marie Chantal Gingras: Hi, Nigel. It’s Marie Chantal. So the reclassification that I referred to in my remarks is related to a change that was made in the normal context of reviews of our processes. So through these process reviews, we aim to refine and ensure optimal representativeness of our results. And as I said, what's important to keep in mind is, it is an reclassification that has no impact on our total results. And you're right. It is viewed as permanent in the sense that it will remain on the net NII line in the -- going forward as well.
Nigel D’Souza: And then on terms deposit growth, any specific number you could throw in there in terms of what the rate of growth you're seeing in relation to total deposits? Just to get a sense of the pace of growth there.
Marie Chantal Gingras: Yeah. So as we've -- again, we've mentioned in the remarks, what we're seeing is migration has been slowing down in terms of deposits from demand to term. So that's definitely something that we've been seeing in the past quarter or so in terms of growth. And we're seeing as well, clients utilizing some of their accumulated savings. That being said, we're still seeing savings that are higher than pre-pandemic level. So I think those were some of the highlights I would give us -- I would give you, Nigel. Does that give you a little bit of color?
Nigel D’Souza: Yeah, sounds like some excess deposits are continuing to shift [and deter] (ph), if I understand it correctly, but [indiscernible] a sense of the level that remain in terms of the [runway] (ph), any insights there?
Marie Chantal Gingras: Your question, Nigel, we're losing you a bit. Is it the run rate?
Nigel D’Souza: No, just the remaining level of those excess deposits, if you could size it and in terms of how much more to potentially flow into terms? Do you have a sense of either the amount that could well determine future quarters? Or when do you think that a [shift will stop into] (ph) term deposits?
Lucie Blanchet: It's Lucie. Maybe I can take this one. Specifically on retail deposits, we still see lots of excess liquidity compared to pre-pandemic level. So -- we're talking more than $1 billion in liquidity there. And we see that liquidity being put to work with customers paying higher debt. And we see that movement continues because like -- for example, the lines of credit, the utilization rates remained low at -- even lower from quarter-to-quarter. Credit card portfolio is growing, but the revolving balances are lagging. So we see good usage of liquidity, and we see a resilient consumer. And the migration to fixed-term deposit is mainly with our high excess saving customers with, let's say, 100,000 and more. And on that front, they [indiscernible] liquidity to work for a while now. So we see the migration slowing down. But I think it will remain a bit.
Nigel D’Souza: Okay. Last question. Yeah, that did. And last question for me, just real quickly. I noticed that there was an increase in gross impaired loans in the residential mortgages categories within the other geography. Just wanted some clarification. Does that relate to ABA Bank? Or is that tied to some other exposure?
Bill Bonnell: Hi, Nigel, it's Bill. And yes, exactly that. It's related to ABA Bank. If you remember, the classic -- small classic customer average borrowing of around 60,000 a building where the residence is on the top floor to and the business in the bottom one. So in the [setback] (ph), it gets classified with -- in the residential mortgages, and that's what you're seeing.
Nigel D’Souza: Okay, that’s helpful. Thank you.
Operator: Thank you. A following question is from Joo Ho Kim from Credit Suisse. Please go ahead.
Joo Ho Kim: Hi, thank you and good afternoon. Just a couple of quick ones here. On all bank margins, your LCR ratio went down 9 percentage points quarter-over-quarter. Are you able to quantify how much that benefited your all bank margins, if at all this quarter?
Marie Chantal Gingras: Hi, it's Marie Chantal. So in terms of the impact of the LCR movement there -- actually it's marginal, there are no impacts on the all bank NIM from the movement.
Joo Ho Kim: Got it. Okay. And I apologize if I missed this, but could you speak to how you see your margins at the all-bank level evolving in the next little while?
Marie Chantal Gingras: Yes. So if I can maybe just go back a little to the remarks that we've shared with you in terms of the all-bank NIM that reached to [18%] (ph) this quarter. Really, what you have to keep in mind is that P&C NIM was stable quarter-over-quarter. We've talked about the reclassification. So I won't go any further regarding that. And there was 2 points coming from a corporate banking loan recovery. So in the context of the current environment and with the interest rate expected to stay at the level that we are, we do not expect further margin expansion in Q4 and most likely slightly down.
Joo Ho Kim: Okay. That's helpful. Thank you. And last one for me. When I look at that double-digit asset growth at Credigy and ABA, I'm trying to square that with the revenue growth, which doesn't seem to have caught up with the growth in the balance sheet. So I'm curious if that's to do with the change in the business mix or if that margin pressure at ABA has persisted into the quarter? Or if there's something else that's driving that revenue growth to kind of lag the balance sheet growth?
Stephane Achard: So perhaps, Joo, perhaps I can start, it's Stephane. So on the ABA side and referring back to Nigel's question, perhaps the one area where we still see term deposits growing, it's at ABA. So the business mix is changing a bit. We view it as a good thing as the economy went from a cash economy to a current account economy. Now we're seeing people move into taking advantage of higher interest rates and moving into short-term deposits. They're quite short term, but they're still term deposits. So that has put pressure on the margin. It's likely to be maintained over the next few quarters, but it remains to be seen together with the prevailing -- the rate environment.
Etienne Dubuc: And on the -- it's Etienne on the Credigy side, we're really pleased with the asset growth this quarter, things were slow at the start of the quarter with a lot of -- and I talked about it last quarter, a lot of liquidity that had been injected by government intervention, but we ended up growing assets by 3%. We made some great portfolio acquisitions during the quarter. And net income was up 7% overall. And keep in mind that there were some items last year that affect the comparison. But overall, the pace of growth will remain dependent on emerging opportunities and Credigy will continue to be disciplined while being ready to deploy when they see opportunities that meet their risk-reward objectives.
Joo Ho Kim: Got it. Thank you. That’s it for me.
Operator: [Operator Instructions] Our last question is from Sohrab Movahedi from BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Okay. Thank you very much. Etienne, I wanted to just come back to you on the trading results. If I look at the performance of the bank and the trading numbers pre-COVID. So I'm looking at 2017, '18, '19. Quarterly average, maybe around the levels that this quarter's trading revenue would have been -- maybe a little bit higher. But what I'm trying to kind of get a sense for is the elevated or the very kind of strong trading revenue numbers over the last couple of years, could those end up being operations? Is there an indication that maybe the kind of operating environment that we're going to be in will mean trading numbers will be closer to historical levels. And a number like this will actually be a good number?
Etienne Dubuc: Thanks for the question, Sohrab. And no, I think that our run rate in global markets is higher than that. When you take a step back, I mean, the goal has always been to deliver the performance during all market cycles. And you look at our performance in 2020 and 2022, certainly, we did very well during elevated volatility, but even in 2021, which was a market characterized by up markets and a lot of retail trading and decreasing volatility, we also did well. I think what we've done is build a franchise that performs well during ups and down in the market cycles. And the goal is always, first and foremost, to serve clients. Well, which means being in the markets when it gets rocky and to be able to provide liquidity and be a trusted adviser throughout the different market cycle. And if that means being more defensive than peers and performing less well in a very quiet market like what we just had, we're comfortable with that. But we believe across the cycle, our run rate is higher than what we did at Q3.
Sohrab Movahedi: But do you believe volatility is picking up in the foreseeable future?
Etienne Dubuc: Yes, I do believe. And even though implies have not really gone up, you're now seeing more client activity, you're now seeing more market swings. August was very different from June and July, and we're very encouraged about what we're seeing.
Sohrab Movahedi: Okay. And maybe just a little bit related, is there -- how relevant is the eventual outcome of the federal budget and the treatment of dividend income, and the implications from a taxable equivalent basis to the outlook for trading revenues?
Etienne Dubuc: Well, I think it's probably too early give precise numbers and estimates around that. I think the rules are still being -- and the applications of the potential rules are still being discussed. So very early to do that. And it would mean a change for us and for every equity franchise in Canada. But you know what, historically, any change in capital regulatory liquidity rule as standard to impact market conditions and client demands and these changes bring business opportunities, and we tend to do well in capitalizing on these new business opportunities.
Laurent Ferreira: Hey, Sohrab, it's Laurent. Maybe I could jump in, whether it's changes in capital rules and FRTB or changes with CRA, it doesn't change our strategy in capital markets, our capital allocation to our financial market franchise. So we're very comfortable with what we've built and you can see the performance over time. And we're going to keep supporting it.
Sohrab Movahedi: Okay. And if I can just maybe sneak one in for Lucie. I'm curious, Lucie, if you could just tell us specifically in Quebec in the past quarter, did you see opportunities for your business to grow maybe because of disruptions within the market?
Lucie Blanchet: Yes. Thank you for the question. Definitely, what we see in Quebec, we see us gaining market share, we see that we continuously onboard new customers, and we onboard them at a pace that is higher than the demographic growth. So definitely, we're gaining market share there and it's really the foundation for us to continue to grow our deposits, acquire, engage and making sure that the customer satisfaction remains high. And we've been performing very well, and we see more and more engagement from also the customers we onboard with lower attrition. So that for us is the greatest opportunity because we like to have customer strategies and not really focus on product strategies. The rest is just the consequence of our customer acquisition. So definitely, lots of room for us to continue to grow, and we are doing it.
Sohrab Movahedi: Okay. Thank you very much. Those are my questions.
Operator: Thank you. The following question is from Darko Mihelic from RBC Capital Markets. Please go ahead.
Darko Mihelic: Hi, thank you. I just wanted to sneak in a real quick question here, maybe a follow-up. Is your treasury doing anything different now that we've had [another two] (ph) rate hikes in Canada? Given where we are, is your positioning going to change materially from here?
Marie Chantal Gingras: Hi, Darko, it's Marie Chantal. Thanks for the question. So a little bit like Laurent said earlier, I think we -- our strategy is consistent in terms of managing treasury -- so -- and you probably saw in our disclosure, the sensitivity on the NII if rates were to change. And you -- there was a slight reduction in the NII sensitivity for a lower 100 basis points going forward. So we're seeing a little bit less sensitivity going forward. So I think those would be the comments that I would give you.
Darko Mihelic: Yes. Thank you. I was actually looking at that now as you spoke. And the question then moves into -- when I look at the benefit or gain, let's suppose from treasury in any given quarter, could that materially change in a falling interest rate environment?
Marie Chantal Gingras: I don't think it could materially change. It could change because we're always assessing our decisions in terms of managing centrally asset and liability. But I wouldn't say that it could materially change, no.
Darko Mihelic: Okay. Last follow-up for me, and I apologize for this arcane line of questioning. But the -- I guess the way I think of it or the way I'm looking at this is when I look at the results, and I look at the trading results in the quarter and given where interest rates are and funding where it is, I just want to make sure that I understand that when I look at the funding cost that is sort of allocated to trading results in the quarter, is there any reason to think that, that would change going forward? What are the big drivers there? And how should I think about that, A, if rates stay stable, and B, if rates come down?
Etienne Dubuc: Hi, Darko, it's Etienne. I don't think you should anticipate any change in our strategy or the way that we allocate cost or look at funding and trading results.
Darko Mihelic: Okay. Thank you very much for that. I appreciate that.
Marie Chantal Gingras: You’re welcome.
Operator: Thank you. That was our last question. So I would now like to turn the meeting back over to Mr. Ferreira.
Laurent Ferreira: Thank you, operator. And before we disconnect, I'd like to take a minute to thank Linda Boulanger, for leading our Investor Relations team with great success over the past seven years. She is taking on a new role as Head of Sustainable Finance and Financial Markets. Linda, thank you for your contribution. It has been invaluable. Great. And I would like to also welcome, Marianne Ratte, as our new Head of Investor Relations, and congratulate both of you on your new roles. That was it for me. Thank you, everyone.
Operator: Thank you. The conference has now ended. Please disconnect your line at this time and we thank you for your participation.